Operator: Thank you for standing by. This is the Chorus Call conference operator. Welcome to the Kinross Gold Corporation 2014 Q4 and Full Year Financial Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Tom Elliott, Vice President, Investor Relations. Please go ahead.
Tom Elliott: Thank you, and good morning. With us today, we have Paul Rollinson, Chief Executive Officer; Tony Giardini, Chief Financial Officer; Warwick Morley-Jepson, Chief Operating Officer and Sylvain Guerard, Senior Vice President, Exploration. Before we begin, I’d like to bring your attention to the fact that we will be making forward-looking statements during this presentation. For a complete discussion of the risks, uncertainties, and assumptions, which may lead to actual financial results and performance being different from estimates contained in our forward-looking information, please refer to page two of this presentation, our news release dated February 10, 2015, the MD&A for the period ended December 31, 2014, and our most recently filed AIF, all of which are available on our website. I’ll now turn the call over to Paul.
Paul Rollinson: Thanks, Tom. Thank you all for joining us today. As you can see from our Q4 and year end results, 2014 was an excellent year for Kinross. Guidance is something that we take very seriously and we are very proud of the fact that we have met or exceeded our targets for the last ten quarters in a row. In 2014, we continue to deliver with record production of 2.7 million ounces. Production cost of sales of $720 an ounce and all in sustaining cost of $973 an ounce and capital expenditures of $642 million. These results reflects standout performance at operations across the company. Warwick, will speak to these achievements in greater detail shortly, but I'd like to highlight a few. Including record full year production at three operations, Paracatu, Tasiast and Maricunga, a 22% decrease in the cost of sales at Chirano year-over-year and a 19% reduction at Maricunga. A continuing decline on the cost of sales at Paracatu to $764 an ounce in the fourth quarter, the lowest level in three years. In Russia, the region exceeded guidance on production and costs, producing 751,000 ounces at a cost of sales of $507 an ounce for the year, a 50% reduction in our capital expenditure from $1.26 billion in 2013 to $632 million this past year. And finally, and very importantly, we not only achieve the best safety performance in the history of the company, but we finished the year with one of the best safety records in the industry. Our performance on all these metrics can be tied back to the company's commitment to its core principles of operational excellence and financial discipline. They also underpin a third pillar of our strategy, mainly balance sheet strength. Kinross generated solid cash flow in 2014, despite a continuing decline in the gold price and ended the year with approximately $1 billion in cash on the balance sheet. We have taken and will continue to take a financially disciplined and careful approach to our business that prioritizes balance sheet strength. This brings me to the Tasiast mill expansion. As we announced yesterday, we have decided not to proceed with the mill expansion at the present time. That said, we continue to believe in the project's potential to add significant value over the longer term. The expansion has the potential to offer both large and low cost production with relatively low execution risk. Nevertheless, we intend to balance what is an attractive growth opportunity with the reality of the current gold price environment and the project's funding requirements over its three-year construction period. There are three components to financing a possible expansion, cash from the balance sheet, project financing, and cash generated from ongoing operations. We have approximately $1 billion in cash on the balance sheet, and we are confident in our abilities to successfully conclude a project financing agreement. However, we would also need to generate sufficient operating cash flow to fund the balance of the expansion's initial capital during construction. If the decline in volatility we have seen in the gold price in recent months continues it would jeopardize our ability to generate the necessary cash component required during that construction period. By taking the decision not to proceed at this time, we preserve our cash position on liquidity, which will position us well, should market conditions improve, and we decide to proceed with an expansion in the future. It also allows us to preserve our financial flexibility to take advantage of other opportunities, should they arise. In the meantime, we will focus on reducing operating costs at Tasiast, which despite improvements in the past year are still higher than we would like. Part of those costs can be attributed to the optionality that we had retained at the site in the event we elected to proceed with an expansion. We now have an opportunity to reduce the costs associated with that optionality, and re-double our focus on improving efficiencies at the existing operation. We have a strong track record of turning around higher cost operations, such as Maricunga and Paracatu and our team at site is committed to applying the same rigor and discipline at Tasiast. As we enter 2015, we are determined to deliver another solid year of results. That means meeting the guidance we forecast for the year, namely production of between 2.4 million and 2.6 million ounces, production cost of sales of $720 to $780 an ounce, and all in sustaining costs of 1000 to 1100 an ounce and CapEx of approximately $725 million. Our production guidance is slightly lower compared with 2014 as we have taken into consideration the potential impacts from power rationing in Ghana and possibly in Brazil. Guidance for all in sustaining cost in CapEx is also slightly higher. This is essentially because we are planning to undertake additional stripping to access more of the ore body at Fort Knox and Maricunga. It’s also important to note that we've been prudent in our cost assumptions using $90 oil and 40 roubles to the US dollar as benchmarks compared to current spot prices. So to sum up, over the past year, we have continued to deliver on our four strategic principles. Operational excellence, quality over quantity, capital discipline and balance sheet strength. This track record has positioned us strongly as we move into the year ahead and we expect to keep on delivering in 2015. I'll now pass the call over to Tony.
Tony Giardini: Thank you, Paul. As emphasized during Paul's opening remarks, our focus on balance sheet strength and financial flexibility are key pillars of our strategy. I'm proud of the fact that our balance sheet was further strengthened in 2014. We increased our cash position by $231 million, which includes the $150 million of cash proceeds from the sale of FDN completed in the fourth quarter. And we repaid $60 million of debt. We also reduced our net debt position to $1 billion, as a result, our net debt to EBITDA ratio at December 31st decreased to 1.19 to 1, which is well within our debt covenant of 3.5 to 1. With the liquidity position of approximately $2.5 billion, including approximately $1 billion of cash and cash equivalents we enter 2015 in solid financial position. Turning now to our financial performance in the fourth quarter. We delivered strong production of approximately 672,000 attributable gold equivalent ounces at a cost of sale of $714 per ounce and an all in sustaining cost of $1000 per ounce. Adjusted operating cash flow for the quart was $198 million or $0.17 per share. Fourth quarter adjusted net loss was $6 million, compared to an adjusted net loss of $25 million in the same quart last year. As a result of our continuing focus on capital discipline and reducing spending, capital expenditures in the fourth quarter were $190 million, a 43% decrease from the same quarter last year. We completed our annual impairment testing and recorded an after tax non-cash impairment charge of $932 million in the fourth quarter. This charge consisted of $787 million relating to property, plant and equipment, and $145 million of goodwill. We have provided a table summarizing the impairment charges on slide 17 of the webcast. The largest components are PP&E write downs at Tasiast and Chirano. The impairment charge at Tasiast takes into consideration our decision not to proceed with the expansion at this time, and corresponding changes to the life of mine model. Regarding Chirano, while we are encouraged by the exploration prospects of the mine, changes to the life of mine plan necessitated a reduction in the value of exploration potential which resulted in an impairment. To the extent that we have exploration success in the future that translates into increases in economic reserves and resources, we may reverse a portion or all of the impairment recorded. Impairment charges at Lobo-Marte and La Coipa which are outlined on the slides are the result of declines in valuations of development projects in Chile and the reclassification of mineral reserve estimate at Lobo-Marte. We also recorded an impairment charge of $157 million relating to our investment in Cerro Casale, and $168 million inventory write down, primarily at Tasiast. Looking forward, we expect 2015 production to be approximately $2.4 million to $2.6 million gold equivalent ounces and expected cost of sales of $720 to $780 per ounce. The regional breakdown of our production and cost guidance is available on slide 18 of the webcast, and Warwick will provide additional context when he discusses our operating results. Our budget assumptions for the gold price, oil and foreign currencies are outlined on the slide, as well as a sensitivity for operating expenditures to these assumptions which takes into account existing currency and oil hedges. Given its volatility, we have broken out sensitivity to the rouble separately. Assuming that there is no associated inflationary impact, 10% change in the exchange rate from our budget assumption of 40 roubles to the US dollar is expected to result in an $11 per ounce impact on our cost of sales for Russia. Our 2015 forecast for capital expenditures is $725 million, including approximately $40 million for capitalized interest. We also provided guidance for the following items, overhead expense of $205 million, in line with 2014 overhead, our exploration budget of $95 million and other operating costs of $50 million, which includes $11 million for care and maintenance at La Coipa. Our focus on disciplined, capital management and the strength of our balance sheet will continue to be priorities for us as we head into 2015. I'll now turn the call over to Warwick.
Warwick Morley-Jepson: Thank you, Tony. We had a solid quarter and a excellent operational performance for the full year. Our operating results reflect the strength and quality of our people, and our ongoing commitment to managing costs in a challenging environment. The America's region performed very well this year, exceeding 2014 guidance on production, while achieving costs at the lower end of the range. Our largest operating region in America is contributed approximately 53% of our annual production this year. We've had a number of significant accomplishments and I'd like to share some of the highlights with you. Our Paracatu mine in Brazil is a great example of our focus on continuous improvement efforts. The operation continues to see the benefits of the innovative ore blending strategy we initiated in the latter half of 2014. We began processing a blend of the softer B1 and harder B2 ores to both plants. While the results in the lower throughput, it has advantages of high grades and improved recoveries through both plants. The impacted evidence in the mine's 2014 results, Paracatu achieved record annual production, also reducing costs by $20 per ounce year-on-year. And this focus continues, with a site generating new continuous improvement opportunities that we will explore in 2015. It's a similar case with our Maricunga mine in Chile. We brought in a new management team, made sure we had the right people with the right expertise and experience in place and focused on improving performance. You've seen results in a number of areas at the operation. The heap leach, the ADR and salt [ph] plants are performing very well and the strong performance in the crushing circuit has resulted in a record of 16 million tonnes crush and delivered to the heap during a single year. For 2015, we have budgeted additional capital for stripping of the Verde southwest, but considering where the mine's operating costs were at the beginning of 2014, we would not have considered the stripping campaign without seeing the progress the operation has achieved over the past year, bringing down cost per ounce by 19% compared to 2013. Fort Knox had a strong year, despite challenges resulting from a wall failure which occurred in the end of 2013. This restricted access to the high grade portion of the pit, increased operating rates and haulage distances, which impacted costs in the second and third quarters. Higher revenue [ph] gained access to the higher grade portion of the pit at the end of the third quarter, resulting in a 39% increase in mill grade and 17% reduction in the cost of per ounce in quarter four as compared to the third quarter of 2014. In 2015, we plan to initiate stripping of the Phase 8 pushback, which is forecast to extend mining through 2018 and beyond. Similar to the past year, we expect America's region to contribute over 50% of our 2015 production, with the guidance range of 1.3 million to 1.4 million gold equivalent ounces. The cost of sales are expected to be between $790 and $850 per ounce. Our Russia region delivered excellent performance in 2014, exceeding its production guidance with cost below the lower end of the range. The contribution of the higher grade ore from Dvoinoye has increased average gold grades of 21% year-on-year. A number of site enhancement projects were completed during the year. Of note, Kupol executed an expansion of the south generating power plant very successfully, an enhancement which provides for greater flexibility and power usage at the mine. While we anticipate a slight decline in Dvoinoye grades due to mine sequencing, we are targeting another strong year from Russia in 2015, with production expected to be approximately 710 to 760,000 gold equivalent ounces and expected cost of sales of between $495 and $525 per ounce. Our West Africa region had a solid year, meeting its 2014 production guidance and achieving a 12% decrease in the cost of sales year-on-year. We have had considerable success implementing self performed mining at Chirano by investing some capital to purchase equipment and eliminating the use of contractors, costs have been reduced by 22% year-on-year transforming Chirano into one of our lowest cost operations. In terms of costs at Tasiast, we have seen some success from our continuous improvement programs, resulting in approximately a $50 per ounce decrease in the cost of sales year-on-year. Nevertheless, costs remain higher than we would like. The operation is not currently cash flow positive. This is particularly due to the fact that we have preserved optionality at the site, in event we decided to proceed with mill expansion. Now that we have decided not to proceed at the mine at this present time, we plant redouble our focus on increasing efficiencies and reducing the costs based on Tasiast's current production levels, in a similar way we did at both Paracatu and Maricunga. Looking ahead to 2015, we expect our West Africa operations to produce between 390 and 440,000 gold equivalent ounces. That’s an expected cost of sales of $850 to $920 per ounce. We anticipate lower grades at Chirano this year due to mine sequencing, and reduce production from the Tasiast dump-leach. I'd now like to turn to our year end mineral reserve and resource estimates. For the third year in a row we have maintained our gold price assumptions at 1200 for reserves and 1400 for resources. At year end proven and probable gold reserves were estimated to be approximately 34 million ounces. Year-on-year gold reserve estimates were reduced by 8 million ounces. This is primarily a result of the reclassification of 6 million ounces at Lobo-Marte to the measured and indicated mineral resource category, which was slightly offset by additions at Paracatu due to expected improved recoveries, lower costs and more favorable exchange rates and at Kupol where our drilling program not only replaced depletion, but added additional ounces to our mineral reserve estimates. 2014 was a positive year for exploration as we continued to focus on Brownfield projects and exploration within the existing footprints of several of our mines and surrounding districts. At La Coipa we generated additional promising results at the Catalina target, located approximately one kilometer southeast of Phase 7. Results continue to be encouraging from the oxide mineralized zone and drilling continues to outline the geometry and extent of the mineralization. In 2015 we will continue drilling at Catalina to better define the morphology, the extent and controls of mineralization. In addition, we'll also continue to test district targets in the region. At Moroshka, which is located approximately 4 kilometers southeast of the Kupol mine, drilling defined an indicated mineral resource estimate of approximately 240,000 gold equivalent ounces. Approximately 8 meters to the southwest of Moroshka we discovered a new epithermal vein called Providence, that runs parallel to Moroshka. Providence remains open and untested to the south and at depth and we will be conducting further drilling this year to determine the size, grade and continuity of the mineralization. The Dvoinoye infill drilling and trenching was completed at the September Northeast target which is located 15 kilometers Northwest of Dvoinoye. This work defined a high grade gold silver mineralization within a breccia [ph] zone over a strike length of approximately 150 meters. Further work is planned for this year to establish an initial mineral resource estimate. At Chirano we drilled from 150 to 600 meters below the bottom of the existing pits at Akoti and Suraw with successful results. Exploration drilling contributed to the addition of estimated M&R resources of 163,000 ounces at Akoti, and 78,000 ounces at Suraw. These additions are reflected in the 2014 mineral resource estimate for Chirano. We also conducted drilling at a number of district targets in 2014, some of which were in further work in 2015. At Tasiast we defined near surface measured and indicated mineral resource estimates totaling approximately 327,000 gold ounces at Fennec, C67 and C68 satellite deposits, which are located on the existing mine license. We also reported encouraging results at our Tamaya target, which is located on the Tasiast Sud license. Additional drilling is planned for 2015 to better assess the size, continuity and other potential of this mineralization. Overall, it was a good year for exploration. We successfully replaced ounces depleted at Kupol with an increase in our mineral resource estimates. We added approximately 8000 ounces to our M&I resource estimates and we generated encouraging results at many of our sites. And so we look forward to continuing with our program in 2015. Before turning the call back to Paul, I'd like to extend my sincere gratitude to all our employees for their hard work and dedication in delivering these results. All while maintaining a safety record that was not only the best in Kinross's history, but one of the best in the industry. And I'll pass the call back to Paul.
Paul Rollinson: Thank you, Warwick. And I'd like to echo your comments. I'm extremely proud of the fact that we have met or exceeded our guidance targets for the last three years in a row, for production, cost of sales, and capital expenditures. We take our guidance seriously, and we expect to be held accountable for it. We could not have achieved what we have quarter-after-quarter, without the hard work, professionalism and commitment of our workforce. Our employees are truly best-in-class, and I want to thank them for a job well done. Thank you. Operator, and with that, I'll open up the call to questions.
Operator: Thank you. [Operator Instructions] The first question is from John Bridges of JPMorgan. Please go ahead.
John Bridges: Good morning for everybody. Well done on the results. Could you just give me a little bit of some detail on what you expect from Catalina? Could that fill a gap that may be less by Round Mountain, as that winds down in 2017 and beyond?
Warwick Morley-Jepson: Thank you, John. I'll take this one. Just to, first of all fill you in that we decided during the course of 2014 to start a pre-feasibility study on what we had defined at La Coipa. At this time we are doing that work – on work at what we call Phase 7, as well as the Puren deposits and we are also doing some study work on what we are finding at Catalina. Catalina is not the subject of that pre-feasibility study. Albeit still very much part of our exploration activities. They are very encouraging results and we also see as a result of the relatively large cover that we have there, some 200 meters that we would also consider underground operation. So, this is part of our study work right now, as to how it might fit into our current production profile, its still too early to advise.
John Bridges: Okay, great. And as a follow-up. I was just wondering about your reserve base. And I see Tasiast is still there. How did that get through the impairment calculation?
Tony Giardini: John, its Tony Giardini. As far as the impairment calculation goes, we indicated that we've included $157 million write down with respect to Tasiast. It’s included in our other income losses number and we own 25% as you know and the other 75% is held by Barrick. So our number doesn't flow through the property line, but rather an investment line, and portions [ph] of reserve purposes, we retained the reserves as part of our – in our reserve statement and they haven't been reclassified.
John Bridges: Okay. Thanks, guys. Well done guys, keep it up.
Warwick Morley-Jepson: Thank you, John.
Operator: Next question is from [indiscernible] of Deutsche Bank. Please go ahead.
Unidentified Analyst: Hi, everybody. Its [indiscernible] sitting in for Jorge. My first question is on overhead, I guess or Tony, when I look at slide 19 you've guided to $255 million if I combine overhead and other operating expenses and comparing that to 2014, that’s about 14% lower. Could you help me reconcile those two numbers, because I notice that in 4Q, those two items actually spiked, G&A by about 30%, and other operating expenses was more than four times?
Tony Giardini: Sure. No problem. As far as you know, I would point out firstly that we came in on guidance as far as our G&A and overhead for 2014. And we're holding the line with respect to G&A for 2015 of $205 million. So when we looked at the amounts in the fourth quarter, what we end up picking up is some accruals that got picked up typically in the fourth quarter, and in fact if you compare the Q4 numbers in other expenses to last year, you'll see that there was also a pickup in the fourth quarter. We also had some accruals for UTP, so unrecorded tax provisions that flowed through that other income number. And that was actually the largest component that went through that. So from a budget point of view in 2015, in the $50 million, what we have is we have a La Coipa study which we've broken out. There is also some other study cost associated with other areas as well. And in addition, we have business development costs that we have been. So pretty consistent in how we've been looking at the other amounts and expenditures. I think where we have an opportunity to see G&A come down is we've been conservative in terms of the assumptions on currencies. So we've budgeted 110 for the Canadian dollar and the Canadian dollar is roughly around 125 right now. We have a portion of that hedged, so we won't get the full benefit. But obviously to the extent that we get some of that benefit it will flow through in terms of reduction in our overhead costs. Certainly happy to provide any additional details if necessary.
Unidentified Analyst: Okay. Appreciate that. That’s helpful. And the second question if I may, on Tasiast and Paul alluded to this in the prepared remarks, cost reduction opportunities, what levers do you have? If you could shed some light on that please.
Paul Rollinson: I'll turn it over again. The point we're trying to make in the prepared remarks was really whenever you have the possible of a major project, there is a lot of things going on at site. We faced the same issue a couple of years ago at Paracatu where we had third ball mill, fourth ball mill, flash flotation, desulphurization. We had contractors [ph] running around and lots of projects people and that can be distracting to the site. So that’s certainly one of the first areas that will allow us to get more focus. But maybe Warwick to elaborate a bit more.
Warwick Morley-Jepson: Yes. Just in the support of what Paul has just mentioned, not only has the mine been focused on the preparation associated with executing the project, but also understanding a number of immediate issues that would need to be addressed as and when project go ahead is given. And so all that would fall away in its entirety, and so the mine is now in a position to reassess its goals and objectives, typically focusing on the day-to-day operations of what is happening there. The plant is an area that we are going to continue to do work, and we have a slight reduction in 2015 in terms of through put associated with the harder materials that are being mined from the West Branch. So that is potentially an area that we want to address. And then certainly the cost component, of which we have, we believe, not typically low hanging fruit, but certainly an opportunity to address and bring down.
Paul Rollinson: I just add to that as well, I mean, like the situation at Maricunga, it's never one big sort of silver bullet. It's a waterfall of several small items that – that get us to where we want to be and its – that will be the focus.
Unidentified Analyst: Got it. Thank you. That’s it for me.
Paul Rollinson: Thanks.
Operator: The next question is from Andrew Quail of Goldman Sachs. Please go ahead.
Andrew Quail: Hi. Morning, Paul and guys. Congratulations on a very strong operational quarter. Just to cover questions on Russia. Can you guys remind us what percentage of costs is in local currency in the rouble?
Tony Giardini: Sure, Andrew. It's Tony Giardini. What we've got is about 45% of our local costs are in rouble. And you know, from a hedging point of view, the last hedge that we entered into in the rouble was April 2nd. I remember this day April 2nd, 2013. That was the last hedge that we put on. We haven't added any hedge positions in the rouble at all. And the sort of hedges that we have, we have about 26% of our exposure hedge for 2015, nothing beyond that. In fact its sort of front end loaded. So we felt it was important to really provide those sensitivities. What we expect for the rouble and as we noted we used a budget rate of 40. There is been a lot of depreciation in the rouble. We don't know what the inflationary impacts would be. But, it’s about $11 per ounce for every 10% move in the rouble. So, hopefully that helps you guys on the modeling side.
Andrew Quail: Yes. It does. Thanks, Tony. And just on sustaining CapEx, you guys have been excellent in reducing that. As we are going forward, obviously do you see a bit, instead of going forward, we're still looking at, maybe your rate, if you look at your guidance, mid range or the mid point of around $200 an ounce, is that something that we consider model going forward or you – is that sort of in a very materially, as soon we head into 2016, 2017?
Paul Rollinson: I'll lead off and Tony jump in. I mean, what we've said historically, generally, is a good assumption. I guess I'd start by saying, we believe our assets are very well maintained. And if you look back historically, a good sort of rule of thumb run rate has been about $400 million a year, plus or minus. But that's a safe kind of run rate on existing operations of sustaining capital.
Tony Giardini: Yes. So, I think that that's the way we've looked it at this year. Sustaining capital is a little bit higher because of stripping programs at Maricunga and at Fort Knox. So those are included in the current year’s budget. And so it takes us up closer to your number, Andrew of roughly $200 an ounce if you look at the sustaining budget. So its certainly a reasonable number for the current year, but I think as Paul said, you know the stripping that we'll see at Maricunga and Fort Knox will get the benefit of it down the road, so some of that won't be coming back in. And I think, although you didn't ask a question, I think I'll address it as part of this discussion. We also had stripping costs at Tasiast, which we've classified as non-sustaining. And the reason why we've treated these costs as non-sustaining is that, the World Gold Council guidance on non-sustaining really sets out that for major projects at existing operations which are expected to materially increase production, you classify the cost as non-sustaining. So we've looked at the stripping cost at Tasiast as non-sustaining because the benefit that we expect to get will be a material increase in the future production at the operation. And I would point out that this is consistent with how we treated stripping costs at Tasiast in the past. And also note just to complete the story, because I expect we'll get the question, is that, it has no impact on our financial statements. Because what we do for financial statement purposes is we capitalize the stripping and then we amortize it using the units of production basis through the P&L and that – the treatment of the cost is consistent with – for our standards. And lastly, that the World Gold Council metric is subject to interpretation. We've broken out the details on sustaining and non-sustaining. So we've been very transparent about it. But we welcome any further questions on it.
Andrew Quail: Thanks very much guys. It’s very helpful.
Tony Giardini: Thank you.
Operator: The next question is from Greg Barnes of TD Securities. Please go ahead.
Greg Barnes: I guess Tony that begs the question, if you are doing stripping at Tasiast to increase production in the future, is this related to the expansion of $155 million? Or is it, I'm just trying to find how it impacts the operation?
Tony Giardini: No the 155 isn't all stripping. There are some costs associated with finding out the project. So what we're really looking at right now is you know, we've just made this decision and we're going to look at those costs in the context of what Warwick had described in cost cutting exercises and we may revisit the quantum of stripping that we're doing at the site, and we may be able to reduce those wind up costs of the project. So we are hopeful that, when we have an update some point in the future, we'll be able to come back on that capital number. So it's really two components that's included in there.
Greg Barnes: So how much is the product ramp up?
Tony Giardini: It's ramp down.
Greg Barnes: Ramp down?
Tony Giardini: Probably roughly, let's say $35 million of that total.
Warwick Morley-Jepson: Yes, I would agree with that. The issue is that we just made the decision as you know. And we'd be going through that review as to how best we can bring the costs down in every facet of the project, of the current operation, be that the capital stripping, as well as the operating expenses.
Greg Barnes: Okay. So Warwick, a couple of questions for you then. Are you happy with the condition of the plant? I know it was never really constructed very well.
Warwick Morley-Jepson: I mean, certainly we've got plants that are in much better state, both in design and in condition elsewhere in the group. As to its sustainability and longevity to satisfy the requirements that we have, currently in our plan, the answer is yes. We continuously do work on the plant, and so you know, we've added some large capital works in the past, most notably the crushing circuit on the primary side. So these things have improved the situation. But you know, clearly it's not our best, but we are doing well with what we've got.
Greg Barnes: Okay. So what do you think sustaining capital is going to be at Tasiast now for the next several years? Until you revisit the expansion again?
Warwick Morley-Jepson: Really Greg, I would be speculating if I gave you an answer to that right now. It's, we certainly want to put ourselves in a position within the very immediate future to be able to get an accurate number for you. But the best I can provide you right now is what is defined in our technical report. That's the best reflection we can give for Tasiast out of the next quarter.
Greg Barnes: Okay. Okay thank you.
Operator: The next question is from David Haughton of Bank of Montreal. Please go ahead.
David Haughton: Yes. Good morning, Paul, Tony and Warwick. Thank you very much for the update. I guess we've all got quite used to what Tasiast could look like with the expansion. But we now have to think what it looks like if the 8000 tonne per annum plant is to survive. And given you've got 9 million ounces of reserve there for presumably 45 years. Can you just sort of give us an idea what Tasiast could look like in the near term, while it’s running at the some existing rate?
Paul Rollinson: I think, I'll lead off again here David. I mean, look we are not – I think says I indicated in my opening remarks, we're not happy with where the costs are today. It has been a focus for us in the last couple of years. We have brought the cost down. But I think Warwick and the team really need to get in there and have a bit of a clean slate to look at where we think we can take it. And again, we did do the same thing at Maricunga, we didn't predict. We said we're going to send the team in, people were anxious to know what the outcome was going to be and our answer was let's just give the guy some time, let them do their work, and you saw the results. And I think it's a bit of the same situation here. It's hard to speculate too far forward from where we stand today. We've got some work to do ahead of us. We'll put the right guys on it and stay tuned.
Warwick Morley-Jepson: Yes, I'd just like to reinforce what Paul has mentioned. The team has been distracted. This issue of project preparation, optionality has been really quite a diversion for many of the people on the team. We have a really good and strong team there with – in the operation. We are able to draw on the resources and expertise across the greater company that’s so needed. But I'm very confident that they can focus now on what is important. And they realize the importance of that, and they are really up to the challenge. So in the very near future, I would say in the next quarter, next two, we'll have a better understanding of what it's going to look like and we certainly share that with you.
David Haughton: Okay. So it's understandable that 2015 is going to be a transition year, given that you know, given all of the things that you have mentioned, is there a possible if you are just sticking with the 8000 tonnes a day that there are portions of the ore body that you could exploit that would be better, say than the average reserve grade? Would you be able to optimize the 9 million ounces in such a way that its suitable for an 8000 tonne per day operations as opposed for something three times bigger?
Warwick Morley-Jepson: I think what is important is that, last thing we would want to do is compromise the future of the mine going forward. The 38,000 tonne a month project certainly is the most optimum and its something that we are, what we have decided not to go ahead with it right now. Its certainly something of value that we'll always have in our back pocket. And we don't within to compromise that position. We also know how the gold price changes in time, and we don't know when things will change. So we don't want to compromise the short-term for the long-term.
David Haughton: Okay. So it's reasonable then to conclude that it's kind of in a holding pattern until the economics look a bit more favorable for what is the ideal outcome of the expansion to the 38,000 tonnes a day?
Warwick Morley-Jepson: Yes, I'd agree with that holding pattern with the understanding that we need to generate at least positive cash flow. At worst have it flat, that's the challenge that we will step up to in the next quarter and thereafter.
Paul Rollinson: I guess, and I just sort of add to that. I mean, I want to be clear. We are favorably disposed to this expansion project. I mean, we impairment testified on the expansion scenario. We think 38 is the right size throughput for that size of an ore body and we're going to do what we can in the meantime. But I view this really more as a prudent pause, as opposed to a stop for forever. You know, in your 45 year scenario.
David Haughton: Yes, okay. Thank you very much for that clarification.
Operator: The next question is from Adam Graf of Cowen Securities. Please go ahead.
Adam Graf: Thank you. Congratulations on the quarter, the year. I was curious if you would be willing to breakdown the CapEx expectations for the – for the Americas. I know you guys give just regional guidance. But there is quite a few operations there, would you be willing to do that?
Paul Rollinson: Was there a particular area you wanted us to focus or just America's in general? Adam or what are you getting at specifically? You just want to get more detail for them all?
Adam Graf: Correct.
Paul Rollinson: Yes. Just give us second.
Warwick Morley-Jepson: Yes. I think you know, we certainly don't break it down on a mine by mine basis. Maybe what we might be able to help you with this, we consider the sustaining capital as a start. The Americas – of the 500 or thereabouts that we've provided for the greater company, about 350 of that is in the Americas. There are really three large components to it. The first one is, the Fort Knox Phase 8, which is taking us to the next portion of that life of mine. And then, the second one being our strip at Maricunga, with the Verde southwest, and then we have Round Mountain, which we are doing mine sequencing. So the Phase 8 at Fort Knox is in or around $60 million. Maricunga just to get to that number its between 10 million and 15 million, thereabouts. Does that help you there Adam?
Adam Graf: And Round Mountain?
Warwick Morley-Jepson: Round Mountain is not listed in the two numbers I have provided to you. If I remember correctly, and we certainly could give that to you.
Tony Giardini: Yes. Adam, its Tony. Round Mountain is pretty consistent with where we were last year as far as capital expenditures. They were roughly around $40 million. So it will be slightly above that, but in that range. And I think as Warwick indicated the major changes are really going to be at Fort Knox with the Phase 8 stripping. And then Paracatu capital will be very consistent with what we had in 2014. And Maricunga, it's the additional stripping that we're looking at Verde. So those are the larger components overall.
Adam Graf: All right. Thank you. I understand from our initial comment that you have a new mine planned for Toronto. Should we be expecting a new 43-101 in March? And what other 43-101s should we be expecting?
Warwick Morley-Jepson: Yes, I don't believe we have a new plant in mine planned. It’s not material in the greater scheme of things within the company. And so our intentions were not to produce another report.
Adam Graf: I must have misunderstood. I understood the write down at Toronto in your initial comments was due to a new mine plan. So maybe I misunderstood.
Tony Giardini: There was a slight – there was a modification to the mine plan where we have ended up shortening the mine life by, I think one year and that caused us to take some of our exploration potential. It's a delicate message, but the point here is we're quite excited about the exploration potential at Chirano. But given that we reduced the mine plan by one year. We thought it was prudent to pull back on some of our exploration upside from a timing perspective at this point.
Warwick Morley-Jepson: I think further to that Adam, and to your the rest of your question, we will be producing two technical reports, one for Fort Knox and one for Kupol given their materiality to the greater company, and that will take place in the first half of this year.
Adam Graf: Oh! That's great. Any 43-101s you can provide are always very helpful?
Warwick Morley-Jepson: No, we are…
Adam Graf: Maybe just a broader question. Can you guys maybe, I came to the page 37 in your MD&A, which is your input hedges. But maybe you could talk a bit more broadly about your overall input hedging strategy?
Tony Giardini: Sure. Maybe I can sort of look at that. What we've done is we purposely shortened the duration of our hedges on both the currency and energy side. And that was done about a year and a half ago. Typically we had hedged out three years and we cut it down to 18 months, then we cut it down further to roughly 12 months. So we've been really running off the hedge books or the hedge positions on a lot of currency positions and also on oil, so it set us up unreasonably well heading into 2015, to the extent that we have a money positions on FX. Most of those positions were entered into in 2012, 2013. So looking at 2015, we'll likely stay somewhere around the 50% on currencies. We certainly don't want to go above that. I think on the oil side, we're looking for opportunities to probably add some additional hedges in 2015, just given where oil has gone to and gas oil and we may look a little longer term, probably out to 2016, some what, to hedge some portion of 2016 exposures. I would point out that with respect to oil, what we had roughly a third of our hedgeable amounts, hedged going into 2015. The mark-to-market position on that is approximately $8 million, based on current prices. So its not a significant number, overall. But where we'll start to get the benefit of energy will actually be as we look to negotiate our supply contracts for Kupol, for example, where we'd already locked in the Kupol price last year because it's a remote location. We've got to get the diesel to site. So we've locked in that price and we would expect to as we enter into negotiations, hopefully see some relief in terms of the prices on diesel for Kupol. So, we feel that we've run a fairly conservative prudent strategy on hedging. We're in a position where we don't have a lot of hedges in place in 2015. We have nothing, zero, beyond 2015. There is no hedges in place for 2016 and beyond. We'll start to look to layer into some of those. But we're certainly going to benefit from a lot of weakness in currencies and in the oil price.
Adam Graf: Yes. Just a follow-up to that, sort of what levels both on the currency and oil do you decide to start to hedge out and reverse strategy and take advantage of these low oil prices and exchange rates?
Tony Giardini: Well, I think we're going to be measured in terms of how we do that. I don't think we're going to wake up one day and say we want to be 75% hedged at a certain price. Its going to be – we're going to layer into those positions as we go along. I think that applies to both currencies and to oil. We've provided what the budget estimates are. But I wouldn't use those as the basis for how we're going to lock in prices. I think they are what we've put in for budget purposes. But, we'll just have to look at the tone of a market and see what the opportunities are over the next several months.
Operator: The next question is from Anita Soni of Credit Suisse. Please go ahead.
Anita Soni: Hi. My question is with respect to Tasiast in the next couple of years. As David was asking about, how do we think about the 8 million tonne –sorry 8k tonne per day scenario in terms of the grade that would be delivered in 2016, 2017?
Tony Giardini: I think Anita, if I could just possibly reinforce what I have said already. But, the best I can give you at this point and its certainly going to be updated further on in the year, is the grade and tonnages that are reflected in our technical report. We are moving into the greenschist in the order of about 20% of what we are mining currently and that increases as we go through 2015. And with the greenschist we do suffer some – to some extent on the – as a result of the harvest of the material that has an effect on the throughput for loss. I would say that, we also see the better grades as they start improving as we go into the depth of the greenschist at West Branch. So, that’s the best I can tell you right now. The mine is, has a complete change in focus, releasing itself of the, its activities associated with a project. And so hard at work to bring a, an understanding or better understanding of what we've got in our technical report.
Anita Soni: In terms of stockpiling of ore at Tasiast, how much do you think you'll be doing in terms of stockpiling? And then, is that included in the CapEx guidance?
Tony Giardini: There is, I mean, stockpiling of material is limited in 2014, in 2015, sorry. We would certainly see a, the majority of the material that we mine will certainly go through the plant. We have completed the – commenced, and so the focus is now going to be residing predominantly on the West Branch. 
Anita Soni: So, completed the stripping do you mean? Or the actual pit itself that is depleted?
Tony Giardini: The permanent pits that were the source of oxide material during the course of 2014.
Anita Soni: Has been mined out at this point?
Tony Giardini: They are coming to the end of their lives, that's all.
Anita Soni: Okay. And lastly, I think I was, the question was with regard to reserve C. Reserves that were added in, I think sometime in 2014, perhaps mid-year, with the decision or the feasibility studies at 38k tonne per day. At what point from a technical standpoint would you have to re-evaluate whether or not those are considered reserves if you do not go ahead with an expansion in say the next four years?
Tony Giardini: We've just completed the new reserve statement for 2014, on the understanding that we would be going ahead. We did a feasibility refresh as a result of us working through 2014. So from a cost point of view, on how we have modeled things going forward, they are accurate. Yes, there will be a change in a approach, given this whole position. As we'll take a view on the extent of the whole position going through the course of this year and certainly by the end of 2015 we would have a reviewed number based on the decisions we take, with regards to project restarts or any differences that we make to our current operations.
Paul Rollinson: And again I'll jump in Anita. I mean, we can't sort of speculate what life is going to deliver over the next four years. We are favorably disposed toward this expansion. That’s why we did our impairment testing on the expansion model. We have a real opportunity with a very large resource, and a Brownfield's expansion project. So what we have done is take a pause, give them a current gold price environment, as we look to a major capital expansion that would take 35 months. And we are really just being prudent from that side of it. We still see all the benefits and merits of what this expansion could do for us.
Anita Soni: All right. Thank you.
Operator: The next question is from Patrick Chidley of HSBC. Please go ahead.
Patrick Chidley: Yes. Good morning, everybody. Just going back to Tasiast. I think I saw that you are going to spend $155 million on CapEx on stripping, in particular at Tasiast. Could you tell me how many tones that equates to?
Paul Rollinson: I think the first thing since what I would say, Patrick, is the 155 is not in its entirety for stripping alone. What we have in that number is the closeout costs, associated with the projects. And so the number is closer to, closer to about 100, 110 million for the stripping. As far as the tones that would be moved during the time, we are talking about $65 million or thereabouts, both ore and waste yes.
Patrick Chidley: Ore and waste, thanks. And would this be something that you know, is it effectively almost a pre-strip for the larger expansion?
Paul Rollinson: Certainly it lends itself toward exactly that.
Patrick Chidley: That is why it's capitalized, as sort of a non-sustaining CapEx?
Paul Rollinson: Yes, its adding to the value of the greater project. The greater mine going forward.
Patrick Chidley: And just to clear up an earlier question, you said the pit is coming to an end. So – and where does that mean that by the end of the year, will you be mining all greenschist?
Paul Rollinson: No, we have got other sources online. We have – as far as the greenschist is concerned, we'd be moving from around 20% during the course of the quarter one quarter, 2, moving up on close to 40% toward the end of the year. So we're moving deeper into that area.
Patrick Chidley: So we should expect rates to go up and many prices and costs to go up because its harder ore?
Paul Rollinson: Yes, what I'd suggest is the grades would be pretty consistent with what you saw in the last quarter of 2014. And that would be pretty consistent going forward. As far as the, the ore material is concerned, again what we saw in 2014, the end of 2014 in terms of throughput and costs, that would be pretty consistent. I'd be quite sure that we'd be able to maintain that with the efforts that I've raided early on in this call.
Patrick Chidley: Okay. And then the, the costs of mining that you are forecasting for in particular that movement at Tasiast, is that’s – I was assuming an oil price from 90 bucks a barrel, is that correct?
Paul Rollinson: That’s what in our budget. It also indicates that the cost of oil at – in Mauritania has a degree of control on it. As to whether we see the full benefits of the oil prices or changes on a global basis, we don't see that immediately in our operations.
Patrick Chidley: Okay. Thanks. And then just moving to exploration, you've highlighted a few interesting details I think at Tamaya. I was wondering if you could maybe give us a little bit more color on what you see there? It looks like its – is it about a kilometer long already and what sort of utilization is it?
Paul Rollinson: Yes. I've got Sylvain with us. And so I'm going to ask Sylvain to take that one for us.
Sylvain Guerard: Good morning and thank you for the questions. Yes, Tamaya is located on our Tasiast salt license exploration license. Its about 10 to 12 kilometers to the south of the operation. It’s a near surface silanization [ph] with shallow dipping to the east. The silanization is submission and as well quartz veining and stringers. This is early stage exploration. As you said silanization is defined about over a kilometer strike land. It is also defined down deep to a depth of 100 to 250 meters. So we are going to be following up in 2015, as infill during increase levels of confidence and if all the right information is there, we are going to proceed with possibly our first resources on Tamaya.
Patrick Chidley: First resource by the end of this year?
Sylvain Guerard: Yes.
Patrick Chidley: Okay, great. And what can you say about the, the continuity, you know, a long strike and down depth?
Sylvain Guerard: We have testing a long strike this year some reconnaissance census [ph] So basically what the result is that we have delineate, its about the kilometer strike land where we have good level confidence. It’s still open down a bit and there is more genuine requirement to increase level of confidence and continuity of that.
Patrick Chidley: Thank. That deposit then, is it potentially a satellite deposit, you would just say? Or is it a little bit too far away for, given – what kind of grade are you looking at there?
Sylvain Guerard: It is considered as a potential satellite deposit to Tasiast. Of course, we are still evaluating and need to define what will be the average grade, and which portion will be coming from the upside, which portion will come from sulfides and all the kind of makes add best to it to get to the Tasiast side there. But definitively yes, this is considered as a potential satellite deposit to Tasiast.
Operator: The next question is from Phil Russo of Raymond James. Please go ahead.
Phil Russo: Yes, thanks. Just in Brazil here, you talked about the possibility of power rationing there. Can you just expand on the situation down there?
Paul Rollinson: Its Paul. As we currently stand, there is no rationing. However, we are consciously aware of the situation across the entire country, as far as the drought is concerned. We've, we had the experience, going a number of years back where the drought was not nearly as bad as it currently is and where the country brought in restrictions on power usage. In fact, at that time, it was a restriction of some 20%. What the country has done since then is introduced more thermal power generated supply. And so while there is less dependency on hydropower, hydropower still is a major component. We keep an understanding of the state of the water sources, across the country, and we are cautious that – and as they continue to speak across the country, we are cautious that those restrictions are going to be imposed on us. So what we have done is we have given it some thought as to the duration and extent and have put that into our current guidance, of the 2.4 to 2.6 million ounces across the company.
Phil Russo: Okay. Thanks. Can you elaborate at all on what do you actually incorporated or included there at Paracatu?
Tony Giardini: I could best describe it as a 20% reduction on power supply for a period of six months.
Phil Russo: Okay. Maybe just one more question for Paul. Now that Tasiast is in expansion and we are calling it a holding pattern here, how does this change your view toward M&A, if at all? 
Paul Rollinson: Look, I think what I've said in previous sessions is I, I don't know a single mining company if the world that's managed to maintain and grow from just internal exploration. I also observed that the nature of the industry as we – we have effectively almost a sort of pyramid type structure, where you've got builder, operators up at the top, and you've got literally hundreds of explorer, juniors down below. So I think M&A is part of the fabric of mining. It's always going to be there. And I think, you know, we, like everyone else in our size category, have a process, where we keep an eye on what's out there. It certainly hasn't been our focus in the past two years. We have been really focused on our four guiding principles. But, and I can't really speculate on what M&A might appear, what opportunities might present themselves. What I would say, though, is if an opportunity does present itself, that we would try to play from a position of strength, both balance sheet and technical track record. So, I think M&A is always there. It certainly hasn't been our principal focus, but we like everyone else, have a view on what's out there and what might make sense.
Phil Russo: Okay. Thanks. 
Operator: There are no more questions at this time.
Tom Elliott: Great. Well, thank you operator. Thank you everyone for joining us today and we'll look forward to meeting you in person in the coming weeks. Thank you.